Operator: Greetings, and welcome to the CVR Partners First Quarter 2016 Earnings Conference Call. At this time, all participants are in listen-only mode. A question-and-answer session will follow the formal presentation [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Wes Harris, Vice President of Business Analysis for CVR Partners. Please go ahead, Wes.
Wes Harris: Well thanks, Kevin and good morning everyone. We appreciate your participation in today's call. With me today are Chief Executive Officer, Mark Pytosh and Chief Financial Officer, Susan Ball. Before Mark and Susan discuss our recent results, I will provide the following Safe Harbor statements. In accordance with Federal Securities Laws, statements in this earnings call relating to matters that are not historical facts are considered forward-looking statements. These forward-looking statements are based on management's beliefs and assumptions using currently available information and expectations as of today. These forward-looking statements are not guarantees of future performance and involve certain risks and uncertainties including those noted in our filings with the SEC. In addition, today's presentation includes various non-GAAP financial measures. The disclosures related to such non-GAAP financial measures, including reconciliations to the most directly comparable GAAP financial measures, are included in our 2016 first quarter results press release that was issued this morning. Adjusted EBITDA is an example of such non-GAAP financial measures. Adjusted EBITDA represents net income adjusted for depreciation, amortization, net interest expense, and other financing costs, income tax expense, major scheduled turnaround expenses, non-cash share-based compensation, and expenses associated with the Rentech Nitrogen Partners acquisition. So with this out of the way, I'll turn it over to Mark.
Mark Pytosh: Thank you Wes and good morning everyone and thanks for joining us on today’s call. Following the record production levels, we posted at Coffeyville during the fourth quarter. We were pleased to follow that with another quarter of solid operating performance to facility. Summarized financial highlights for the 2016 first quarter included revenue of $73.1 million, adjusted EBITDA of $27.9 million and net income of $18 million. In today’s press release, we also announced the 2016 first quarter distribution of $0.27 per common unit, which will be paid on May 16th to unit holder of record on May 9th. I would note that the distribution includes approximately $0.06 per unit to reflect Rentech Nitrogen Partners available cash for distribution for the first quarter. The $0.27 distribution also includes the larger number of units $113.3 million as a result of the acquisition that closed on April 1. While we incorporated Rentech Nitrogen’s first quarter distributable cash in our distribution, we did not include their first quarter results in our financial statements. I will talk about our acquisition in more detail in my closing comments. As discussed on our last earnings call, during the Coffeyville planned turnaround in July, we performed extensive repairs and maintenance as well as modifications to allow us to rather higher rates production. These activities have been proven successful based on the high level of production we continue to see at the plant. As we mentioned previously, we expect to further increase our ammonia production in the second half of the year once the new hydrogen plant at CVR refining’s adjacent refinery comes online. At that point, we expect to take enough hydrogen to allow for additional ammonia production of 50 to 75 tons per day. This incremental ammonia will be sold into the fertilizer market and not upgraded to UAN as the plant is operating at or near traded UAN capacity. Looking into more detail on our first quarter operations, Coffeyville’s gas fire ran at almost 98%, the ammonia unit operated at 97% and the UAN plant ran at 91%. During the first quarter, Coffeyville produced 113,700 tons of ammonia of which we converted the substantial majority into 248,200 tons of UAN. Turning to pricing. For the 2016 first quarter, Coffeyville received an average realized gain price for UAN of $209 per ton. This is compared to the $263 per ton for the first quarter of 2015 and $221 per ton for the 2015 fourth quarter. For ammonia, Coffeyville received an average realized gain price of $367 per ton in the first quarter of 2016 versus $553 per ton in the 2015 first quarter and $479 per ton in the fourth quarter 2015. I will now turn the call over to Susan to discuss our detailed financial results. Following that, I will provide some concluding remarks and then open it up for Q&A. Susan?
Susan Ball: Thank you, Mark, and good morning. As Mark mentioned, our first quarter 2016 does not include the financial results for Rentech Nitrogen. We will include those results beginning with the 2016 second quarter. Net sales at Coffeyville for the 2016 first quarter were $73.1 million as compared to $93.1 million in 2015. The primary driver of the decrease was lower pricing for UAN and ammonia, reduced hydrogen sales to CVR Refining’s adjacent refinery and lower sales volumes of UAN. Partially offsetting the overall decrease for the period was higher ammonia sales volumes. Cost of products sold for the 2016 first quarter was $16.3 million as compared to $25.8 million in 2015. The decrease was substantially associated with a reduction in third party ammonia purchases and headcount expenses. Direct operating expenses for the 2016 first quarter decreased to $23.7 million from $24.4 million in the prior year period. The primary driver of the slight decrease was lower utility expense that were partially offset by higher cost for outside services. Selling, general and administrative expenses for the 2016 first quarter were $6.4 million as compared to $4.6 million for the first quarter of 2015. Contributing to the increase was $1.2 million of expense related to the Rentech Nitrogen acquisition as well as higher service agreement expenses. Finally, we recorded net income of $18 million or $0.25 per common unit in the 2016 first quarter. This is compared to net income of $29.8 million or $0.41 per common unit for the first quarter of 2015. During the 2016 first quarter, we spent $1.7 million on capital projects at Coffeyville including $900,000 for maintenance CapEx. For the 2016 full year, we expect maintenance CapEx spending of $7 million to $10 million for Coffeyville and between $10 million to $12 million at the East Dubuque facility. I would note the spending estimate for East Dubuque is for the nine month period between April and December 2016. In terms of growth capital spending, East Dubuque is expected to increase reliability, production and plant efficiency through the replacement of its ammonia synthesis converter. The project is expected to be complete by the end of this summer at an estimated post acquisition spend of $8 million to $11 million. Now turning to the balance sheet. As of March 31, we have $52 million in cash and cash equivalents. In addition, our total term debt was $125 million. On April 1, in connection with the closing of the acquisition of Rentech Nitrogen, we entered into a $300 million senior term loan facility with Coffeyville Resources, a wholly owned subsidiary of CVR Energy, and sole member of the general partner of CVR Partners. We used the facility to pay the cash consideration and certain fees and expenses for the acquisition as well as paid off the amounts outstanding under Rentech Nitrogen’s part of agreement. In addition, we use the facility to repay CVR Partners $125 million in the outstanding term debt that was due earlier this month. On April 1, we also entered into a $320 million senior term loan facility with American Entertainment Properties Corp, an affiliate of Icahn Enterprises. Icahn Enterprises and related affiliates own 82% of the common shares outstanding of our parent company CVR Energy. The currently utilized facility maybe used to make a change of control offer and is applicable a clean-up redemption in accordance with the indenture governing our $320 million of the 6.5% senior lean secured notes assumed as part of the acquisition. As an alternative, the facility maybe used to make a tender offer for the Second Lien Notes and in each case pay any related fees and expenses. Both of the facilities are for the term of two years with an annual interest rate of 12%. We view the two facilities as bridge financing that provides us with the enhanced flexibility, given there are no related fees and either can be repaid at any time without penalties. In the coming weeks, we will have better clarity as to what will happen with the $320 million of the Second Lien Notes. At that point, we will determine potential next steps, including the option of raising capital in the credit markets to pay down all or a portion of any borrowings under the tiered senior term loan facilities. With that I’ll turn the call back to Mark for his closing remarks.
Mark Pytosh: Thanks Susan. During the first quarter, we saw volatile prices for nitrogen fertilizer that were on average about 20% lower than the first quarter of 2015. Prices declined during the winter months, although very little products which bought or sold at these lower prices. A combination of left inventory from reduced fall application due to poor weather conditions tons entering the U.S. from other countries and customers winning longer than normal order product for spring delivery calls prices to fall. But as normal seasonal conditions return in early March, prices recovered to levels comparable to the field price from last summer and prices have stayed firm into April driven by the expectation of another size and planting of corn acres this spring in the United States. The USDA confirmed this view at the end of March when it came out with its initial planting estimate of 93.6 million acres which is 6% higher than last year’s planting of 88 million acres. This estimate was much higher than industry consensus at the time, and applies an even strong need for nitrogen fertilizers in spring than what was anticipated at the time of our last earnings call in February. A lot of nitrogen has been applied since the start of the planting season and we expect additional orders during the coming weeks to meet the expected increase and demand from our customers. Corn prices are a critical variable for setting the UAN billed price, it usually occurs in June and July. Future corn prices are driven by a number of factors including the amount of corn that ultimately gets planted, harvest fields in the U.S. and expected global supply-demand. During the sales, the Coffeyville plant typically sales forward a substantial portion of its second half production and agreed upon pricing with delivery spread over a multi-month period. The East Dubuque plant also participates in the billed season and sales forward a significant amount of its UAN production. However, UAN represented only 52% of the East Dubuque facility delivered nitrogen tons in 2015. For East Dubuque’s marketed ammonia, which was 35% of its 2015 delivered nitrogen tons, most of its third quarter production we placed in the storage in anticipation of shipping during the fall application season in the fourth quarter. Since closing the acquisition of Rentech Nitrogen on April 1, I am pleased to report that our extensive integration planning efforts allowed us to hit the ground running. The two companies have similar cultures and operating philosophies, so our few management teams have been able to work together seamlessly. The first step was to remove the large portion of the corporate overhead on the Rentech side without adding significantly CVR’s overhead, which has been accomplished. We’re also beginning to see the benefits in marketing and operating initiatives between Coffeyville and East Dubuque. We are confident that the combined synergies will over time achieve the $12 million we outlined in the August announcement. The operating management teams at both plants are working closely together to leverage their collective expertise on a number of activities, including final planning for East Dubuque’s planned turnaround scheduled for the later portion of the 2016 second quarter. We expect the turnaround to last approximately 30 days with related spending of between $5 million and $7 million. The strategic rationale for the acquisition remains firmly in place and we look forward to capitalizing on the opportunities afforded by our expanded footprint in new geographic markets, broaden customer relationship in diversifying feedstock. Additionally, CVR Partners’ strong presence in the southern plains region will be further enhanced through our UAN marketing arrangement we recently reached with the LSP Industries for its prior Oklahoma facility. When combined together with our Coffeyville and East Dubuque facilities, we will be able to offer our customers products in a broad geographic area, which we believe will be a greater value to them going forward. We expect the industry to continue to evolve in the next one to three years, and we look for additional opportunities to grow our business. As I said many times in the past, CVR Partners will be thoughtful and patience in this process and pursue only those indicatives that are accretive to distributable cash flow and maintain our strong balance sheet. With that, we are ready to answer any questions you have. Kevin?
Operator: Thank you. We’ll now be conducting question-and-answer session [Operator Instructions]. Our first question today is coming from Adam Samuelson from Goldman Sachs. Please proceed with your question.
Adam Samuelson: So I guess my first question on the spring market and Mark in your prepared remarks you alluded to pricing returning to where summer feel, I understand that you’re returning near where summer sales levels were in the second half of last year, and your plant prices were in the mid 220s less than the second half last year. It’s a bit stronger of an increase relative to your 1Q realization than you might see and then just your market pricing and I just want to make sure I understood the comments?
Mark Pytosh: What I would say is it still to be determined, because I think the April and May will be strong and June typically it tails off a little bit every June seasonally. So, we had a drop in price and I think everyone saw the urea prices come down in January and then we had a big recovery and then the orders came flowing in because the customers have held off probably for another 30 to 45 days longer than normal and then everyone came back in. And on top of that, the acreage number is now turning out to be much larger. So we don’t -- we haven’t seen that full demand profile appear yet on the 93 million acres. So, I don’t really -- I can’t really answer intelligently yet how that’s going to play out, but it feels like there is going to be a big push for demand to fill out that acreage in the second quarter.
Adam Samuelson: And as you look at in your necessity for Coffeyville in your market areas, you seen corn acres growth at the expenses wheat to that have any benefit or changed the timing of the order cadences, maybe some more top dressed corn later, and into the spring maybe normally for wheat acreage in your market area?
Mark Pytosh: I would say usually that’s marginal in terms of the shifting and the acres in the corn and the wheat. Usually the beans are in pull back mode than wheat acreage, and weak much lower consumer for our plants than the corn is. I would say that the weather has been -- you’ve seen some storms that have gone through, so you get burst of activity and then they back off. And then you got the side ramp, so we even -- I am saying in the May and June is the Sidedress side hasn’t come on yet, and we don’t really know how strong. We think that’s going to be very strong, but we don’t really know yet -- the orders are not coming in for Sidedress. But I would say that the market started well in Texas. At least the way we see Coffeyville that starts on the south and moves north, now we have East Dubuque, so we follow the math and the weather all the way to the north. So, usually January and February start in Texas and then we move Kansas, Nebraska and then all the way up in East Dubuque and we’ve seen that flow out. East Dubuque has been very strong in April, getting their usual the rotten that we saw, so the ammonia run was real strong in April once the weather broken East Dubuque. So I call, we returned to normal. We started at the first quarter in abnormal conditions and it got the normal by March. And so, we’ve seen that product flow. And if anything, it should come on little stronger here in second quarter at 93 million acres are accurate.
Adam Samuelson: And then maybe just a mechanical question on plans for distribution with East Dubuque and it was two parts; A, I know when you sold plant to Coffeyville you started to take this reserve for turnaround, so as they help balance the years where you didn’t deny how to turnaround, and are you seeing that more balanced schedule where East Dubuque and Coffeyville in alternate years. Is there still going to be an expectation that you’re going to do that reserve to smooth the quarterly distributions? And then second, in the second quarter with the purchase accounting, I would imagine that most of the East Dubuque inventory that you’ve bought, I guess sold in the second quarter is able to margin on that plus the turnaround. Is it reasonable to assume, is it going to be very little actual cash available for distribution from East Dubuque in 2Q?
Mark Pytosh: Well, let me start with the reserve and then I’ll let Susan talk about the cash issue. On the reserve I think what we’re examining is whether we need to do that anymore and the whole theory when we’re one plant Company is we didn’t want to have the big peaks and valleys when we really turnaround and have the distribution follow so much. But now it’ll be a two plants will have a contributor and one in turnaround. So that naturally will smooth it-self out. So, I would suspect it probably won’t be doing the reserve going forward, because now we have a natural hedge, because one plant will be operating while the other one is down.
Susan Ball: And then with respect to -- good point -- on the purchase accounting we’re still evaluating and looking at the impacts. But at this point, we’re anticipating that’s up in that inventory value, which, to your point, and we’ll reduce the expected margin really we believe we’ll view that as a non-cash adjustment so we would adjust it out because it is part of the purchase consideration. But that is not final determination but that’s our view on how we believe we’ll be treating that for Q2.
Operator: Our next question today is coming from Brent Rystrom from Feltl. Please proceed with your question.
Brent Rystrom: Just couple of quick questions. As I look at the 93.6 million acres. And I think constructively and how farmers look at the soybeans versus corn trade-off. Right now, we’re kind of at the point where beans, well, could they provide as much or more profitable than even corn and the working capital requiring to do corn versus soybeans it's about 60% higher, $450 versus $280. Have you seen in your southern markets a strong flow of those increased acres, or is that not happened?
Mark Pytosh: Brent I think it's a little early to call that. I would say that it doesn’t feel like we’re getting but it's created that much incremental demand at this point. But we still have the Sidedress season to come. And so I don’t -- I am not sure there has been we’ve seen the full effects of that. And although talking to some of the bigger customers my sense is that system will be empty by June, because of the -- all the product that’s going to get pushed out in the next two months; so I do think that we’ll see that. I have been reading a little bit about, there has been a little bit of shifting from corn to beans here in the last month because of the rise in bean prices, and so there maybe some conversion there. But even if it falls a little shorter than 93, there is lot of demand that’s going to put have to go through. So I don’t think we’ve felt the full burnt the demand there. We started slowly so I mean we’ve always done this catch up here in the last two months we’ve called out to the lack of buying in January and February. So I’d say we’ve got to a normal spring application, I haven’t seen that extra 3 million acres in our shipment profile. But I get, I expect to see some pretty heavy incremental shipments heading out in late May and June to match up with the Sidedress season.
Brent Rystrom: And speaking of Sidedressing when I think traditionally of the East Dubuque Sidedress market that was a market that was generally June application for your Sidedressing, sometimes in late planted years, which we have several of them up here the last few years that Sidedressing will sometime shift to late June, early July. It looks like that the weather that we’re going to get to next week here that I am guessing will have corn pretty much planted in East Dubuque’s markets easily by May 15 just not sometime late next week. So that would imply that you’re going to have a heavy Sidedress season in the 2Q for East Dubuque, because that’s something that you would expect given the weather is still much dryer than it has been in the previous three years up here in the Midwest?
Mark Pytosh: Well, I mean I think that we’re prepared for that, and even if it's sweat into July we have the inventory to be able to deliver. We are going to be -- we are in a turnaround in the quarter, so we’ll have less product to sell, so…
Brent Rystrom: Well, my point is actually the opposite. It's true that Sidedress is going to come, if not at normal time, June, it might actually come earlier in June because the planting considerably earlier this year than we have the previous three years.
Mark Pytosh: And again we’ll be able to address that whether it comes in June or July, we’re kind of a bit different because we have the storage there in East Dubuque. So whether that’s June and July, it might affect how you all look at quarters, but it won’t affect the product and material balance at the plant and deliver on the customers. Whether they ask for it to June and July, we’ll be able to deliver to them.
Brent Rystrom: And then I just want to make sure I heard it right. Did you mention the turnaround in East Dubuque will be $8 million to $10 million, was that correct?
Mark Pytosh: No, $5 million to $7 million, the converter they do allow them. That’s the new ammonia converter going in will be the final dollar amounts $8 million to $11 million.
Brent Rystrom: Looking at East Dubuque, I think intuitively maybe not correctly but intuitively allow people to assume that there is a long-term opportunity if you can figure out a distribution mechanism to realize the better pricing in the heart of the corns out that East Dubuque has. Possibly from some of your production in Coffeyville, is that a reasonable expectation? And if it is, can you give us a little bottom out?
Mark Pytosh: I would say that our expectation is that ultimately we’ll be able to enhance the delivery to the customer base at East Dubuque, not everywhere because of the rail points. But we’ll be able to supplement if needed the service into the customer base at East Dubuque. And conversely, there is some customer tons that probably that we historically shift in Coffeyville and East Dubuque is better suited to take. So, there is opportunity for us. And the customer base, obviously where the tons are going very different, but the larger customers are the same customers of both Coffeyville and East Dubuque. So, there is opportunity for us and we’re already seeing some things develop where the Coffeyville tons can supplement what East Dubuque has been able to deliver to customers there. So, we’re very excited about, that’s one of the reasons we did the transaction once that we thought there was compatibility with the Coffeyville and East Dubuque and we’re seeing that and that will grow over time with some good opportunities for us.
Brent Rystrom: If we are and Bunge was just on with their call just prior to your call and they were talking about a very aggressive onset of a drought in Brazil and the impact, maybe the impact that’s having on the Safrinha Corn craft. With the El Nino just completed and historic odds of the 50%, 45% chances that the media following in El Nino. If we were to get El Nino in the past, how is that affecting Coffeyville as far as Sidedress? So if we get them onto El Nino and early on, let’s say in June, the Sidedressing tend to happen at similar rates anyway because it's too early for the farmer to know that El Nino is going to hurt more of the deals.
Mark Pytosh: I think you’d probably see some marginal changes, but not a significant change there. I think that they would continue. It’d be too early to make that call and to pull back. And so I think you’d see a normal Sidedress there, maybe a little lighter but not significantly lighter, because it just be too early. But they’re like throwing the towel that early for that season.
Brent Rystrom: And then my final question relates to just the ongoing openings that we have with either just starting with pending plant expansion at CF, with its two plants with its central third plant with OCI and then with LSP eminently ramping in El Dorado. Can you give us a sense of how you think what potential impacts Donaldson, Port Neal, Lebar, or El Dorado might have? Are any of those in particular situational more an issue than others?
Mark Pytosh: Well, Donaldsonville, they’re producing UAN now so their marketing that UAN and that probably will have -- and we’ve seen already even going back to the last summer that that’s been marketing pre-marketing some of that Donaldsonville capacity. So, they’re going to be a bigger factor and they’re going to battle for display some previous imported tons. And I think the market is factoring that in. I know El Dorado is not going to have a real effect to their product base there. It's not going to be headway way in the fertilizer so that’s not a big change. Port Neal it's going to be urea and Hemis, which is coal because both of those are urea expansions coming on later this year, maybe fourth quarter. And then OCI probably would have the greatest effect up in the East Dubuque market but there is some logistical issues about where that product is going to move. But as many know I think in the fall or the fourth quarter on the OCI the legal plant and unclear so about a year and half behind. So it's unclear if that’s the right date or not. There’re some challenges there. But I think the market in last bill season in this fall is starting to reflect that -- there is a little bit of a pre-marketing that’s been occurring on that capacity. So I think the markets absorbing that as we speak. And then when this wave is over, there isn’t any new capacity swaying for the U.S. on -- there’re couple rumours but I don’t think anything will get built for several years after these plants are completed.
Operator: Thank you. We reached the end of our question-and-answer session. I’d like to turn the floor back over to management for any further or closing comments.
Mark Pytosh: Well, I want to thank everybody for being on the call today. And we look forward to talking to you next quarter. Thank you very much.
Operator: Thank you. That does conclude today’s teleconference. You may disconnect your line and have a wonderful day. Thank you for your participation today.